Operator: Good day ladies and gentlemen, and welcome to the third quarter 2011 Albemarle Corporation earnings conference call. My name is Feb [ph] and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question and answer session. If at any time you require operator assistance, please press star followed by zero and we will be happy to assist you. As a reminder this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Lorin Crenshaw, Director of Investor Relations and Communications. Please proceed.
Lorin Crenshaw: Thanks Feb [ph], and welcome everyone to Albemarle’s Third Quarter 2011 Earnings Conference Call. Our earnings are released after the close yesterday, and you’ll find our press release earnings presentation and non-GAPP reconciliations posted on our website under the investor section as Albemarle.com. Joining me on the call today, are Luke Kissan, President and Chief Executive Officer, John Steitz, Chief Operating Officer, and Scott Tozier, Chief Financial Officer. As a reminder, some of the matters discussed during the call may include forward looking statements as defined in the private securities litigations reformat of 1995. Please not the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Also, to the extent that we discuss any non-GAPP financial measures, you’ll find reconciliations in our press release we just posted on our website at Albemarle.com. With that, I’ll turn the call over to Luke.
Luke Kissam: Thanks, Lorin, good morning everyone and thank you for joining us today as we report record earnings for the third consecutive quarter. I’ll begin today’s call by sharing some highlights from the quarter, John will then talk about specific drivers of our results, and Scott will cover the quarter’s financial highlights. As always, at the end of our prepared remarks, we will open it up for your questions. Out third quarter financial performance was a success by any standard. We achieved record earnings for the third straight quarter, and recorded the second highest revenue level in company history. Excellent pricing traction across each business and strong catalyst and fine chemistry volumes throughout net sales of $723 million up 24% year-over-year. These factors combined with effective raw material utilizations, favoral mix, and great execution drove segment income of 186 million up 30% year-over-year and operating margins of 26% of 118 basis points year over year. Earning that appeared were an all time record of $116 million or $1.28 per share, up 25% year-over-year. Great results, ahead of our vision 2015 strategy to double the size of our business. In Catalysts, strong volumes, higher pricing, favorable currency, and effective recovery of raw material inflation drove record net sales of $300 million, up 39% year-over-year. These factors combined with favorable mix and a solid performance from our JVs resulted in record segment income of $102 million, up 48% year-over-year. And segment margins of 34%, up 190 basis points year-over-year. In Fine Chemistry, raw base pricing initiatives and volume gains drove Fine Chemistry net sales of $180 million, up 30% year-over-year. Segment income was $30 million, up 82% year-over-year. And segment margins were 16.7%, up 480 basis points year-over-year. This business continues to demonstrate impressive operating leverage as pricing, volume, and manufacturing efficiencies continue to more than offset higher cost. Polymer Solutions reported net sales of $244 million, up 5% year-over-year and segment income of $55 million down 7% year-over-year. We indicated during the second quarter earnings call that we saw early signs of weaker demand within selected end markets in Polymers. How much of that would be stocking and how much of that was truly reduced demand remains to be seen. In spite of this Polymer’s delivered the second best third quarter in its history and reported segment income over eight times higher than that of the fourth quarter 2008, the first down quarter in the last economic slow down. While Catalysts results were truly outstanding this quarter, our year-to-date performance has been balanced and broad based. The year-to-date segment income of both Fine Chemistry and Polymer Solutions already sees their entire 2010 segment income levels. The growth opportunities before us have never been more compelling. And I am pleased with the way our management team is balancing today’s execution with tomorrow’s adjacency opportunities. The fundamental trends driving demand combined with our focus on cost, innovative customer solutions, cash generation, and operational excellence position us well to deliver on our short and long-term objectives. Polymer Solutions has been a source of questions among investors in recent months. I would like to share with you why we are confident that this business will continue to perform much better in the current or future downturn than it did in the 2008-2009 slow down. First, we’ve lowered our overall cost structure via our Plan C implementation and has been diligent in keeping cost from creeping back in. Secondly, we’re constantly upgrading our portfolio. Approximately 25% to 30% of our annual revenue typically comes from new products that were not in our portfolio five years ago. We generally realized a margin pickup with these new products and that has certainly been the case in Polymer Solutions with the phase out of decabrom and transition to 8010 and the transition of our Martinal mineral flame retardant product from LE to high-performing LEO grades. Thirdly, our pricing strategy has been successful. Brominated flame retardant pricing is up around 50% and mineral flame retardant pricing is up about 30% since 2009. And finally, we don’t believe volume declines are likely to be as severe as they were in 2008 and 2009. Polymer’s inventory days are 50% lower this quarter than in the fourth quarter of 2008. The Chemtura supply agreement provides us with higher bromine operating rates and a much softer landing in the slow down. The electronics, automotive, and construction markets which amounts about 25% of our total company sales seem unlikely to suffer decline is steep since U.S. electronic sales are only up – only up 5% from the 2009 floor and the global construction market has not yet experienced a significant rebound. Collectively, we estimate that the impacts of these actions equates to approximately $25 million to $30 million per quarter, an incremental Polymer Solutions profit of volumes similar to the 2008-2009 down turn. In essence, we’ve reset the earning’s floor for Polymers to $100 million – to $120 million or so per year, a significant improvement versus 2009. Turning to some of our strategic initiatives, we talked before about our new Greenfield sites under way in Saudi Arabia, Korea, and Brazil and the doubling of our bromine and derivatives capacity in Jordan. I’m happy to report that they are all proceeding as client. Each one is an important piece of vision 2015 and has an investment pieces space upon attractive, long-term growth trends and our competitive advantages in these specific markets. We’ve not seen anything in the marketplace that would cause us to rethink the timing of these investments and look forward to bring each of them online over the next few years. Scott will talk to you in a minute about the strength of our balance sheet and our cash flow, but it’s important to note that that strength that allows us to continue both speed ahead with these major projects, fund and pursue of adjacencies, pursue acquisitions that makes sense and return capital loss shareholders. In this quarter, we repurchase three million shares of stock at an average price of around $57 per share. Our board has also authorized us to buy back up to another 5 million shares if we deem that appropriate. Finally, we recently announced the 6% mid-year dividend increase which brings our annual dividend to $0.70 per share. As accustomed, I expect the board to consider an additional dividend increase in the spring. We continue to have confidence in the long-term value of our company and we’ll continue to use our cash flow to enhance that value. In terms of a fourth quarter outlook overall, we continue to believe as we stated during the second quarter analyst call that are second half results will look a lot like the first half so we are comfortable with the fourth quarter consensus which stands at $1.6 share of today. Despite an anticipated sequential decline in catalyst in fourth Q, we expect it still should be a very solid quarter. The fine chemistry order book trends suggest sequential improvement and profitability versus a third quarter due to continued strength and clear blind volumes, seasonally strong act sales, better mix and a restore of our NV, PT production facility. That facility was offline during the third quarter for an expansion but it’s back up and running and currently sold out. While Polymer solutions sales and profitability are typically, seasonally weaker in the fourth quarter, current order pattern suggest that volume should remain relatively flat in fourth quarter. It’s too early to talk in detail about 2012. We’ll share more and we’ll report fourth quarter earnings in January. Nevertheless, the strength of our businesses and the opportunities we see ahead of us give us confidence that assume a slowdown but not a prolonged recession. We have the capacity to continue on our march toward vision 2015 and grow the business in 2012. With that, I’ll turn the call over John.
John Steitz: Thanks, Luke, and good morning, everyone. I’ll start with Catalyst which delivered outstanding performance by any historical measure and set numerous records. Refinery catalyst revenue and seven income each rose over 40% driven by record levels in FCC profit and a double digit increase in FCC revenue to an old time high. HPC results were also stellar with sales up 55% year over year and biomes up 35%, marketing the third straight quarter double digit year on year growth. In refining, key value drivers for us included higher customer operating rates as plant issues at a few larger customers who were dragged on results during the first half of 2011, and also continued expansion and growth in China, Brazil, India and the Middle East. Polyolefin catalyst also reported record profits on strong sales growth and double digit volume growth. We continue to benefit from growing global demand for plastics and rapidly developing economies. In particular, traction towards shifting the business toward higher value-specialized catalyst systems and in addition, early success on our new line of High Purity organometallics into the LED market. On the topic of raw materials, a key priority obviously remains effectively managing the Rare’s dynamic by securing adequate supplies and effectively passing through these costs. If you are aware the rare of price index started 2011 around $60,000 metric ton and rose to $140,000 per ton by the end of June. Starting in August, the index began declining and ended the quarter around 80,000 a ton. We continue to help customers find ways to minimize the use of rarers in our FCC catalyst. We’ve been successful in these efforts and during the quarters have good traction towards enhancing our low rare earth competitive advantage and demonstrating responsiveness towards our customers in managing this dynamic. Specifically approximately 38% of our customer formulations have moved to lower rear earth catalyst and another 20% are currently under customer evaluation. Overall in the third quarter, outstanding supply chain execution, good buying growth and exceptionally good product mix, growth catalyst margins higher. We anticipate finishing the year strong and positioning our business for another year of growth in 2012. Within Fine Chemistry, performance chemical’s profit grows an impressive 64% on 31% sales growth. As you know, this division benefits from tremendous end-market diversity and a wider array of growth drivers. Clear brine growth remains exceptional with volumes up over 50%. Middle East demand in particular offset continued weak Gulf of Mexico trends. Other profit drivers included stronger means performance and sales into the food safety, industrial water treatment and mercury control end-markets. Our food safety business set a new profit record during the quarter and in light of the recent food recalls, Albemarle has been instrumental in working with key processors across the globe to implement food safety solutions that will provide for effective control of food-borne pathogens. While we’re closely watching developments related to the upcoming EPA decision on mercury, it’s notable that mercury control delivered strong revenue in the profit growth benefiting from the advancement of regulations both domestically and internationally where governments have already adapted more strengths and standards. Fine Chemistry services also reported excellent sales and profit increases of 23% and 40% year-over-year respectively, driven by exceptional results across our specialty pharmaceutical lines in particular. A very healthy pipeline of perspective opportunities and contracts for 2012, including Sega [ph], Emrest [ph] and other proprietary specialty compounds gave us confidence in the outlook for this business. Polymer Solutions volumes were down in the order of 15% year-over-year primarily due to mineral flame retardant volumes in Europe. However, segment income of 55 million was more than double the product levels of quarters during 2008 and 2009 when we reported similar volumes. It’s important to note that Polymer’s segment income was achieved despite a 49% year-over-year stabilizers and curatives profit decline due to the absence this year versus last year of the data production campaign supporting high-speed rail orders from China. This performance provides the first in what we expect will be a series of operating data points confirming that we’ve successfully reset the earnings floor for this business during transitioning to higher value-added products, shedding under performing assets, pricing initiatives and after having restructured our R&D efforts. October and November order book trends lead us to expect that the decline in total volumes have stopped while the array of cost, new product introductions and pricing initiatives we have led over the past two years should continue to support strong margins for our business in the future. So with that I’ll turn it over to Scott.
Scott Tozier: Thank you, John and good morning everyone. This quarter marks a new level of profitability for our company as we set an EBITDA record of $189 million up 25% year-over-year, a new record sale of $723 million, up 24%. Our EBITDA margin was up 30 basis points year-over-year to 26%. On a year-to-date basis, we’ve generated $538 million in EBITDA, up 33% from 2010 and our EBITDA margin is 25% of 190 basis points versus the same period a year ago. Our balance sheet remains very strong. If you go back to the third quarter of 2008, net debt, excluding non-guaranteed debt from our JBC Joint Venture stood at $728 million. And our leverage as measured by net debt to EBITDA was 1.7 times. By contrast today, our net debt is $384 million even after the share buyback this quarter and leverage has fallen to 0.6 times EBITDA. In addition today our businesses are generating higher cash flow than at any other time in our history. Turning to some P&L details, R&D expense is up 43% year-over-year as we continue investing in organic growth opportunities including the strategic adjacency initiatives we outlined as part of Vision 2015. So, the first nine months of 2011, R&D cost as a percent of revenue are up 20 bases points, to 2.7% versus 2.5% for the comparable period in 2010. SG&A expense rose 25% versus Q3 2010, principally driven by increased personnel cost, sales commissions and foreign currency impact from the stronger Euro. Year to date as a percent of sales, this line item is actually down 30 bases points at 10.8% versus 11.1% during the same period a year ago. Our effective tax rate for the quarter was 25.1% up 100 bases points versus the third quarter of 2010 rate of 24.1%, driven primarily by increased profitability and higher tax rate. At this time, I expect our full rate to be 23.7%. Now on the cash flow. Year to date free cash flow, defined as cash flow from operations, add back pension and post retirement contributions, million dollars for the period and is down 15% year-over-year. Our cash from operations, excluding pension contribution was actually up 13% to $343 million year to date. So, the free cash flow decline is mainly due to higher capital expenditures of $127 million, double the amount spent during the same period a year ago. The CapEx increase reflects investment in the Korean and Jordanian projects we’ve discussed and domestic investments in our bromine and polyolefin catalyst businesses. We expect full year CapEx to come in between $180 million and $200 million. This is up from previous guidance and reflects excellent traction on our adjacency growth projects and our drive for further manufacturing efficiency. Notably, year-to-date, we have essentially distributed all of our free cash flow to investors in the form of $178 million in stock repurchases and $43 million in dividends. And we’re still able to fund our ongoing projects. The impact of the shares repurchase during the quarter was $.02 per share for Q3 and will $.04 in the 4th Quarter. Our weighted average shares outstanding for calculating diluted earnings per share were 90,958,000 for Q3. Unless, we decide to repurchase additional shares during the 4th quarter, you should use 89,684,000 shares for 4th Quarter and 2012 PPS calculations. Net worth and capital is $110 million net of FX from December 2010 or 23% mainly due to higher business activity in line with our accumulated year to date sales growth of 23%. Our working capital as a percent of revenue is a healthy 21% as compared to 26% three years ago in Q3 2008. Our past due accounts receivable balances remain well-controlled and have actually fallen from 10% at year end 2010, to 5% as of September this year. Additionally, as sales have grown, we remain vigilant in managing inventory. Specifically, inventory has grown 20% net of FX from the end of 2010, driven mostly by increases in raw material pricing, primarily rare earths. Unit inventory levels are up only 4% from year end and total base sales and inventory are flat. A testament to our increased operating discipline. Further, relative to the 2008 recession, our date sales and inventory has dropped nearly 30%. Finally, towards the end of the quarter, we entered into an amended and restated credit facility. We now have $750 million five-year credit facility in place of our previous $675 million facility. We also have the ability to borrow an additional $250 million under the terms of the agreement. A few quarters ago, it was not possible for even strong investment grade companies like ours to obtain five year facilities. Therefore, we are pleased to lock in a five-year deal secure funding at attractive spreads and achieve an improved covenant package, with only one financial covenant, a leverage test of 3.5 times EBITDA. We believe this credit facility and our exceptionally strong balance sheet provide the financial where – to fund most organic or strategic opportunities, we would likely contemplate as part of our vision 2015 business plans. With that, I’ll hand it back over to Lorin for Q&A.
Lorin Crenshaw: Operator, we’d like to open it up for questions at this time.
Operator: (Operator instructions) Questions will be taken in the order received. Please press star one to begin. And our first question will come from the line of Kevin McCarthy with Bank of America.
Alex – Bank of America: Hi, this is Alex [ph] for Kevin. A question about catalysts, if you look at your profit year-to-date, is it fair to say that the run rate should be somewhere in the middle between 3Q profitability in the first half?
John Steitz: Yes this is John Steitz. Yes, that’s a good barometer, I’d say. And that’s kind of what we’re looking at, a very strong finish by any measure.
Alex – Bank of America: And I guess digging a little bit into catalysts, of the 26 percent price gain there, could you give us an idea of how various products faired in terms of pricing, FCCHPC et cetera?
John Steitz: Yes, the biggest – the majority of that pricing improvement was the FCC catalyst which is increased based on what rare earth is doing. That’s why I try to pay particular attention in our formal comments around rare earth issues related to impact on revenue. But our polyolefin catalyst business did quite well on price too, year-over-year it was up double digit and mid single digit sequentially. And our HPC business tracks (inaudible) has been on the sequential decline – and that pricing is tied to that.
Alex – Bank of America: So what is your outlook for SCC pricing for 4Q and early 12?
John Steitz: Well there’s a lag involved in that, Alex, so there’s a lag going up as we saw in the first half, and there’s a lag going down as we’ll see in the fourth quarter, and part of the first quarter. So not so much I’d say it’s muted in the fourth quarter – we have – if index pricing stays where it is now in reverse, we’ll see a bigger impact towards the second, third and fourth quarters of next year.
Alex – Bank of America: All right, thank you.
John Steitz: You’re welcome. Operator Your next question will come from the line of PJ Juvekar with Citi.
PJ Juvekar – Citi: Yes, hi, good morning.
John Steitz: Hey, good morning PJ.
PJ Juvekar – Citi: You know, in polymer solutions, there are a lot of moving products, so can you quantify the size of curatives or stabilizer business that declined substantially? And also the mineral flame retardant business? What I’m trying to get at is, what’s the sort of core Brominated flame retardant business did in the quarter.
John Steitz: Okay, yes PJ, let me start with the Brominated flame retardant business, up nicely year over year, but on a declining volume. So price more than adequately covered decline in volume. Year over year was down low to mid single digits, so on a volume basis, pricing year over year was up about 20%, was up 4% sequentially, so our momentum or our pricing continues despite the sluggish volumes. Stabilizers and curatives on volumes were down, we wanted to highlight the issue of the one curative, we call it beta [ph] we make that in Pasadena. Last year, in the third quarter, we had a strong production campaign for it, and revenues were doing quite well, and this is all related as a curative for the rail lines – or on high speed rail on China. We’re still very hopeful that that will pick up again next year. But those were the big impacts. The biggest volume impact, and I don’t think people are really aware of this, but I’d like to highlight it, was in mineral flame retardants. And at the height of some of the economic crisis, politically, you know, a lot of European customers were in the middle of shutdowns and turnarounds in their plants in Europe and we tended to see that extended in August. So that was probably the biggest volume impact that we saw in the Polymer Solutions business and I think between those three, we’ll give you a little better picture of it.
Luke Kissam: Yeah and PJ, this is Luke. I think we talked volume that we sell on an annual basis and two products, SCC Catalyst and mineral flame retardants is typically make up about 25% of that total volume so when we have a movement like we’ve had in mineral flame retardants, it can really impact the volume as we look at it from a quarter-to-quarter or sequentially our year-over-year so you have to be mindful of that.
P J Juvekar – Citi: Okay, thank you and then what’s happening to the profitability of the Chinese bromine (inaudible)? What are bromine prices in China and is there a potential for more shutdowns? Thank you.
Luke Kissam: One of the things that I think we’ve done in the past PJ is - I think there’s a certain level at which if bromine prices is over at a certain level, it really doesn’t matter to us. It’s not really a competitive advantage or disadvantage for us so we don’t really look at what the bromine prices coming out of China. I think it’s probably dipped a little bit from the highs that we talked about but it’s just that, it still causes an issue coming from a call standpoint and competing with us on a derivative basis which is the key because as you know only about 10% of our bromine is sold as elemental bromine. The value that we get in derivatizing that bromine is when we really extract brine from the Polymer Solutions business. So I wouldn’t look too much at any specific number whether it’s up or down within a range like we’ve seen here, it’s going to move around a little bit depending on what’s going over there. I think that you’re going to continue to see shutdowns of bromine capacity in China and those resources continue to be depleted going forward.
P J Juvekar – Citi: Thank you.
Operator: Your next question will come from the line of David Begleiter with Deutsche Bank.
David Begleiter - Deutsche Bank: Good morning. Luke and John, what’s your expectation for the decline in bromine flame for volumes in Q4 versus Q3?
John Steitz: Yeah David, we’re seeing it now as flat with Q3 so that is hence drove our comment that we have seen as volume erosion stopped. I just like to give you a little color around that though. In the third quarter, we saw reasonable volumes in July, softer volumes in August, stronger volumes in September and October volumes have maintained at that September level and November looks a little bit better which has kind of led us to a pretty strong conclusion that there really is an inventory correction that’s occurred here and won our customer base. There was somewhere buy in correction in the fourth quarter of last year and brominated flame retardants and I believe that that’s kept any kind of inventory build from occurring though the course of this year. So that’s why we remain pretty confident our volumes have stopped and going forward in the fourth quarter will be a flat to maybe up slightly if we get a little bit of an assist.
David Begleiter - Deutsche Bank: And John, given the strange of seeing bromine as far as - how much pricing do you think you can get in 2012 versus 2011 in bromine and flame retardants?
John Steitz: Yeah, we remained positive about the pricing environment David. We saw in bromine and flame retardants of 4% sequential improvement and I think, more importantly, we really focused on some of our specialties in the back half of the years, in the back half of 2011 and actually, in that range of products, we saw really terrific momentum year-over-year and about a 15% to 16% increase sequentially. So if we get a volume assist next year with volumes improving, I think we’ll get our mojo back on pricing.
Luke Kissam: And David, this is Luke, I think when you go back and we look at 2009 when volume started coming back, the key for us is we didn’t have to give away a lot of price for volume. It was a pricing game that people going back near the volume, it was main coming back. I felt a little bit around it and nobody was out there giving away price to try to gain volume so we were anticipating that our pricing would hold for the value that we’re able to deliver to the customers in that area going forward.
David Begleiter - Deutsche Bank: And lastly, I may have missed this, what was the actual volume decline in mineral as far as in Q3, quarter-over-quarter and year-over-year?
John Steitz: Yes. Well, you say, you know, we polished about 15% and the majority, almost two thirds of that was in mineral. So that’s the way to look at it.
David Begleiter - Deutsche Bank: So that equates to how much for minerals?
John Steitz: It was – yes, higher than the average, right? So it’s 15% to 20% decline.
David Begleiter - Deutsche Bank: Thank you.
John Steitz: Uh-hmm.
Operator: Your next question will come from the line of Steve Schwartz with First Analysis.
Steve Schwartz - First Analysis: Hi. Good morning, guys.
Luke Kissam: Hi.
John Steitz: Hi, Steven.
Steve Schwartz - First Analysis: John, can you talk a little bit about refining FCC? You know, refiner profitability has been doing a little bit better, but I think accrued process is down. So what was your FCC volume year-over-year? And how do you see the current economic environment for refiners playing out with the HPC replacement?
John Steitz: Yes. With – you mean rare earth replacement, Steve?
Steve Schwartz - First Analysis: Well, that’s going to be my follow-on question.
John Steitz: The HPC replacement, okay, I understand.
Steve Schwartz - First Analysis: Yes, yes.
John Steitz: Well first, you know, volumes year-over-year were up mid single digit, okay, for us. And it was double digit sequentially. Overall, you know, there continues to be – to be a lot of pressure on the U.S. and European refining base, but we see growth in the Middle East and India more than offsetting that. And even – and you said refining margins have improved. And that’s true. But it’s very disparate. You know, the East and West Coast are really being hit with a lot of imports. The Midwest continues – the Midwest and Southeast and west continues to be in pretty good shape. So it’s very disparate as the way I’d say. But overall, globally, you know, we continue to see growth opportunities in FCC and especially in some of the high propylene yielding Catalysts desired in the Asian regions. A lot of growth potential. So hopefully that kind of frames up FCC for you. HPC has been I think aided by these higher refining margins you talked about, impressive. You know, we talked about it in our formal comments. We were seeing strong volumes in the fourth quarter. And this could kind of build the foundation for almost I’d say a record setting first quarter of 2012. So we’re trying to, as we said, finish a strong 2011 and position the business for some nice growth for 2012 in both FCC and HPC.
Steve Schwartz - First Analysis: Okay. And then, you know, John, you did kind of lead in to my follow-on question. With the – of the fact that – so, you’ve got rare earth pricing coming down.
John Steitz: Right.
Steve Schwartz - First Analysis: And at the same time you’re transitioning your customers into Catalysts with a lower concentration of rare earth, how do you see this dynamic playing out? Do people go back to the legacy products with the higher concentrations? And, you know – or do they stay with the lower concentrations? And what does that do to your profitability?
John Steitz: Yes, Steve, we’re not concerned about impacting profitability overtime. We consider to pass through. Thus in fact our working capital as Scott iterated. But overtime we’ve done – I think we’ll just pass through those cost. There’s a lag going up as I described earlier. There’s a lag going down. And we’ll see that at both ends. So it will affect revenues to a degree and margins to a degree. But the – at the end of the day the actual profit dollars generated will be based – they’ll be driven based on the value of this Catalysts produced for the individual refiner. So keep that in mind. We’ve I think dealt extraordinarily well with the rare earth issue. I think that 60,000 of ton which is where it’s running today, that will ease the pressure for a conversion. But at the end of the day, you just have to have… [Audio Gap] performance in this catalyst. That’s what really counts.
Steve Schwartz - First Analysis: Okay, great. Thank you, John.
John Steitz: You bet, Steve.
Operator: Your next question will come from the line of Jeff Zakauskas with JPMorgan.
Jeff Zakauskas - JPMorgan: Thanks very much. Good morning.
John Steitz: Hi. Good morning, Jeff.
Luke Kissam: Good morning, Jeff.
Jeff Zakauskas - JPMorgan: Can you remind us how much your raw material cost inflation was even through the nine months or what you expected to be through the year exclusive of the raw material passed through in catalyst having to do with rare earths.
John Steitz: Well, Jeff, let me give you the broad number and we’ll talk about pass through. The total headline number for this year is about 140 million. That breaks down year-over-year about 25 million in the first quarter, about 40 million in the second quarter, third quarter is about 50 million, and then the fourth quarter will ease to about 25 million. So that should add up to about 140 million year over year. The majority of that is rare earth. As you can see at the end of 2010, we’re probably lagging in getting the rare earth coverage. And now, we’re achieving that rare earth coverage. And then the balance, the bigger issues are benzene and ethanol, that chain. That’s easing a bit, as you know. The other inorganics and things like that are not a big part of the equation but hopefully that would kind of put it in the context for you.
Jeff Zakauskas - JPMorgan: So in general, raw materials are looking pretty good for you for next year, I would think, or certainly better than whatever your forecasting was. How do you see raw materials for next year?
John Steitz: Very volatile. You know, hard to predict. But we really try to stay on top of this every week here in the company. I’m hoping, you know, the rare earth issue, you know, will subside and stabilize. Molybdenum seems to be stabilizing. But we have to be prepared for volatility in these metals markets, right? Ethanol, benzene, very closely tied to oil. Obviously, oil has a degree of volatility, but we’re comfortable in dealing with that and all of our product lines. So we’re going to deal with it. We don’t have a view yet on 2012 on raws and energy. But we’ll keep you tuned in on that.
Luke Kissam: I mean, Jeff, the only thing I’d say, if you can go back and look over the last three years of what we thought raw material inflation was going to be and then what it actually turned out to be, we usually were underestimating the impact of raw material inflations. And what we’ve got to do on a daily basis, really, is manage those inflations and still deliver the kind of earnings that we expect in our shareholders for these things so more to come on that as we finish our AOP process for 2012 and roll that out to you guys in January.
Jeff Zakauskas - JPMorgan: Just a couple of more short questions. In the catalyst segment in the quarter, as raw materials came down, was there a meaningful sequential benefit to profitability?
John Steitz: No, no. There’s a good of an inventory effect and most of the big issue there is rare earth, right? And so we’ve – I think coming down, we weren’t really purchasing a lot of rare earth in the third quarter so I can’t say it had a big impact.
Jeff Zakauskas - JPMorgan: Okay. And then lastly, you bought 3 million shares at $59. And–your stock’s a little bit cheaper than that now. So, you know, if it was a pretty good deal at $59, you know, how was it in $40s? And you know, if you have to guess as to when you would complete your 5 million share repurchase, when do you think you might complete it by?
Luke Kissam: Yeah, I think – Jeff, we obviously think that $59 was a good price. We spent $180 million roughly on our returnee and value to shareholders that we had to share and buy back. We got a great wealth of opportunities in front of us and we will continue to be opportunistic in buying back shares. But you shouldn’t expect that when we do our first quarter call or fourth quarter call that I’m going to tell you that we bought back another 5 million shares. We’re not expecting to do that. This is consistent to what we’ve done in the past where we have – had the board authorize a number of shares and then we selectively go in here and had made opportunistic bias.
Jeff Zakauskas - JPMorgan: Okay, thank you very much.
Luke Kissam: Thank you.
Operator: Your next question will come from the line of Robert Koort with Goldman Sachs.
Robert Koort – Goldman Sachs: Thank you. Good morning.
Luke Kissam: Hey, Robert.
John Steitz: Hi, Bob.
Robert Koort – Goldman Sachs: Can you guys talk a little bit about the clear brine fluids? I mean I recognize there’s been a tremendous growth. Is that an issue of a low-base number that makes it look so exaggerated and what’s the forward path look like there? And then secondly, within the fine chemical segment, I know you guys are reluctant to disclose specific profitability but might you be able to rank order, you know, the individual subunits in terms of profitability or importance to the profit stream?
Scott Tozier: Yeah but – I’ll give the crack on this, John. Yeah. Well, first I think you’re exactly right. Clear brine’s volumes in the third quarter were up nicely year-over-year, aided by the fact that volumes were so mediocre last year in the third quarter. They were stronger in the second quarter of 2011. And so sequentially we saw a decline in volumes but our profitability was about flat because we had a lot of pricing momentum in that business. But it was up dramatically year-over-year because of that pricing traction. But if you go forward, we are looking forward to a big fourth quarter, aided mostly by international base completions in the Middle East and Asia. So that is looking – it could be a record force in the fourth quarter. And we’re also looking – it appears to us to be a very strong build-up for 2012, aided by continued completions internationally and then tracking opportunities in the Gulf of Mexico, one opportunity appears to be gaining a lot of momentum could hit towards the middle of next year. So overall it’s a real good story. If I’ll look at the overall profitability ranking, I mean that’s hard to do because on any given day in Fine Chemistry we have a really well-managed portfolio of businesses. What I would highlight for your is our ag and ag-related intermediate business tends to be a 4Q thru one quarter buying-in phenomena. So we weren’t really aided at all in the third quarter by our ag and ag-intermediate business and that appears to be gaining some traction as we speak. Then you have the bromine chain, specialties of clear brines, hydrobromic acid, the bromates and bromine-intermediate into our food safety chain. That, I’d have to rank as number one with specialty, brominated intermediates that go into very broad array of end-markets. And that is probably number one. Second would be our Fine Chemistry services business for gaining a lot of tractions especially for next year with a couple of really nice opportunities for which we have contracts and orders in place.
Robert Koort – Goldman Sachs: And then if I might follow up in flame-retardants. Should I view your contract with Chem Tour [ph] as maybe sort of an insurance policy when trends are weaker, it’s an advantage to have it. But when the market is quite tight, you give up a little bit of upside or how would you suggest we look at that supply arrangement?
John Steitz: Yeah. It’s hard for me to say we give up some of the upside because you have to assume we’d be selling that and if they would to the in-cost. So the way I look at it is they might have make a bad decision, we still make better than – on the stuff that we’re selling but it’s not as profitable as our other businesses but it certainly does run our assets harder in slower times than we would if we did have that contract off.
Robert Koort – Goldman Sachs: Great. Thanks, Scott.
Scott Tozier: Thanks, Bob.
Operator: Your next question will come from the line of Laurence Alexander with Jefferies.
Laurence Alexander – Jefferies: Good morning.
Scott Tozier: Hey, Laurence.
John Steitz: Hey, Laurence.
Laurence Alexander – Jefferies: I’ll first want to clarify one of your earlier comments, did you indicate that just catalyst would have a very strong Q1 or was it the entire catalyst segment? So just HPC or the entire segment?
John Steitz: Well generally in the first quarter, Laurence, this is John, when we have stronger HPC business we have FCC behind us. A little bit too early to tell where FCC behind the picture looks like at this point but we do know that the HPC order book is really strong. It could be a record level on the first quarter.
Laurence Alexander – Jefferies: And how much was the earnings impact year-over-year of the absence of data?
John Steitz: I think that was in the range of $6 to $7 million force.
Laurence Alexander – Jefferies: For surfing back to catalyst, if your customers were to migrate entirely to the lower rear-earth product lines, how much of the tailwind would that be to margins? Or is it more of a volume benefit?
John Steitz: No. I think there is a margin or profit. We’ve really haven’t kind of frame that up and I’m not sure I’d want to go into that level of detail. But we did price these products on a value basis given the – crude is coming in, the heaviness, the metal contamination issues, then the products slate that a given refinery wants to use. But we haven’t – I don’t think we disclosed publicly the margin of impact for that.
Laurence Alexander – Jefferies & Co.: And then just lastly on the bromine derivatives – do you have any areas in the derivatives channels where you have cut prices?
John Steitz: Not on my watch. So, we’re keeping an eye on that. And you know driving is value is really important to us as a company, Laurence, so, to my knowledge, no. There hasn’t been any price cutting.
Laurence Alexander – Jefferies & Co.: Ok. Thank you.
Operator: (Operator instructions). Your next question will come from the line of Mike Sison with Keybanc.
Mike Sison – Keybanc Capital Markets: Hey, guys, nice quarter.
John Steitz: Hi, Mike. Thank you.
Mike Sison – Keybanc Capital Markets: Luke, I appreciate you giving us giving us a little bit more color in what’s different now for Polymer Solutions than in the past. Could you remind us through the end of 2011, how much bromine pricing that you’ve achieved through the pipeline?
Luke Kissam: Yes. I think it’s up about 50% overall from a bromine – bromated flame-retardant standpoint, we’re about 50%. John, is that…
John Steitz: Yes. Yes, Luke. That’s a good a way to look at it Mike. And generally, Mike, the way I look at overall Polymer Solutions, since the end of 2009, we have more than doubled the growth margin per kilo in that business as a whole.
Mike Sison – Keybanc Capital Markets: Right. And then in – and can you remind me, in ’09 versus ’08, bromine prices were basically flat in a difficult environment. And could you us a feel for why you think your pricing was able to be flat in a tough environment.
John Steitz: Well, I think in our case, you know we work really hard to generate the margins we do. To chase market share, if you will, through pricing is something that is very short term nature and in the chemical industry, just doesn’t work over the long haul. So, really tried to build in a sustainable long term thought process strategically in how price our products. And that’s why we feel so strongly about it.
Mike Sison – Keybanc Capital Markets: Right. And in terms of the in Catalysts or finding Catalyst HPC, particularly, as head into 2012, you had a very strong third, looks like fourth is coming in pretty well. Any visibility on the backlogs heading into ’12?
John Steitz: Yes, the 1st Quarter of 2012 in HPC looks sold out at this time, Mike. And I think I said it earlier, we hope to have a record in 1st Quarter in 2012. And I add that our regenerated – our joint ventures and our royalty income is also doing really well. So, it’s a combination of a lot of factors that have so positively contributed to the result in the 3rd Quarter. And I remember last year, in the 3rd quarter, just to give you a little color around this. We hit 32% margins on a similar basis. And there’s a lot people who couldn’t believe that we could keep that kind of thing going. So, when I look at the 3rd Quarter, I just believe that it’s kind of a new watermark for our business as a whole. And it makes me firmly believe that our 2015 margin targets are realistic and achievable.
Mike Sison – Keybanc Capital Markets: Great. Thanks, guys.
John Steitz: Thanks, Mike.
Operator: Your next question will come from the line of Edward Yang with Oppenheimer.
Edward Yan – Oppenheimer & Co.: Hi, guys. How are you doing?
John Steitz: Hi, Ed.
Edward Yan – Oppenheimer & Co.: John, you sounded pretty confident that Polymer Solutions has bottomed and has hit its low but at the same time, I don’t think anyone anticipated the type of decline that you saw in the 3rd Quarter. So, with regards to your comments on the October and November book trends and order trends, how firm are those orders? Are they cancellable? Again, what’s your visibility in Polymer Solutions?
John Steitz: Well, and I’d say that – of course, these orders are cancellable but what we’re seeing, I say is a little bit more volatility. We’re seeing more short lead time orders, more emergency orders. Today, for example, we saw the best orders today in brominated flame retardants that I can recall in months. We track orders now as they're entered. We see, we have a very high line of visibility around that and we’ve seen that that has picked up. We see a good correlation over a 10-year period to the book-to-bill ratio and our brominated flame retardant volumes. We believe that there was a pretty solid correction in volumes last year in the fourth quarter and exemplified about a fact that we saw a recently strong first half and it’s my belief that we saw compare to what our customers are saying and what the book-to-bill data is saying and what we’re seeing in a lot of the lagging indicators, how strong they had been over the last few quarters that we will maintain volumes at last year’s level and at the previous sequential level. It’s my belief with the early Chinese New Year, in 2012, that we’re going to get off to a good start.
Edward Yang – Oppenheimer & Co.: The decline in the third quarter looks like it was overdone to your points so you probably saw some severe de-stocking. Is it possible that you’re seeing some restocking to compensate for that and what do you see if the other side of this in terms at demand?
John Steitz: I think people are painfully aware of managing working capital towards the end of this year so I don’t believe it’s been a correction on the restocking side. And the other point I may add is that the biggest part of the volume decline that we experienced in the third quarter related to our mineral flame retardant volumes, and as primarily in Europe and I think there’s a lot of confidence issues obviously affecting Europe and affected our customer base there. That volume appears to be coming back also from that third quarter level so overall, we’re feeling good about the fourth quarter. We’re feeling good about the overall profitability of the company and we feel even better about 2012 and our ability to grow that business across all three business lines.
Luke Kissam: Yeah Ed, this is Luke Kissam. Just one second. I really think one of the keys of this is we’re a stronger company than we were in 2008, 2009 or we try to focus on that and give you a view on how we’ve believe we have reset the bottom from an earning standpoint of Polymer Solutions. You remember we lost money in the first quarter of 2009. Made it back in the second quarter of 2009 and then it’s been pretty much a steady uphill climb on Polymer Solutions from that day. The steps that we’ve taken to strengthen that business should give us at that low level of volume an additional $100 million to $120 million in profitability in our Polymer Solutions sector. So we feel good about that whether it’s going in to a downturn and also as we’ve been able to crank that volume back up that we showed in 2009 and really get the (inaudible) on the pricing and the cost initiatives that we’ve gone through. We really feel that it can be a good combination when the volume starts really coming back.
Edward Yang – Oppenheimer & Co.: Thanks for the comments on that Luke, just final question for me on pricing. You mentioned that you’ve reached prices in the fourth quarter but given the volume trend is flattish, third quarter pricing was actually great; it was up 15%. In the last recession, pricing lag, volumes by about a couple of quarters in terms of volumes decline first and then you saw pricing structure drop off, so how confident are you that customers will accept those price increases?
Luke Kissam: Well, I’ll tell you. In 2009, I was traveling around Asia, meeting with customers and it was a manner of - nobody was asking me for price. They were asking me for volume because they had over corrected and they needed the volume and one customer in Japan particularly, he told me he didn’t care what the price was. He just needed assurances of volume. So the history of 2009 gives me confidence that while there maybe a little bit around the edges on some price, the value that we provide with these innovative solutions, but we’re not going have to get back price and we are fairly confident on that going forward from here.
Edward Yang – Oppenheimer & Co.: Okay, thank you very much.
Luke Kissam: Thanks for calling Ed.
Operator: And there are no further questions in the queue. I would now like to turn the call back over to Mr. Lorin Crenshaw for closing comments.
Lorin Crenshaw: Well, I’d just like to thank everyone for participating in the call today. If there are any further questions, contact me at the number on the press release and have a great day.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.